Operator: Good afternoon, everyone. Welcome to the Dave & Buster's Entertainment Incorporated First Quarter 2021 Earnings Results Conference Call. Today's call is being hosted by Brian Jenkins, Chief Executive Officer. He will be joined on the call by Scott Bowman, Chief Financial Officer and Margo Manning, Chief Operating Officer. I'd like to remind everyone that this call is being recorded and will be available for replay beginning later today. Now, I would like to turn the conference over to Scott Bowman for opening remarks.
Scott Bowman: Thank you, operator and thank you for joining us today. After prepared comments, we'll be happy to take your questions. I'd like to remind you that this call is being recorded on behalf of Dave & Buster's Entertainment Incorporated and is copyrighted.
Brian Jenkins: Well, thank you, Scott. Good afternoon everyone and thank you for joining our call today. This current first quarter results we announced earlier today provide solid evidence of the strength of the D&B brand and another great example of the outstanding commitment of the entire D&B team. I continue to be inspired by what we've accomplished together over the past year to strengthen the Company on many fronts. Scott will provide a review of our first quarter financial performance in a few minutes. But I want to call out a few of the highlights. After closing out fiscal 2020 with accelerating momentum, our sales trends strengthened further during the first quarter. Despite continuing to operate with capacity and other operating restrictions, we saw a significant improvement in demand across our store base, including at our recently reopened New York and California stores. The reopening of our store base coupled with stimulus payments, expanding vaccinations and excellent operational execution drove significant revenue recovery. We generated $265 million in total sales, surpassing the top end of our expected range for the quarter and established a new high watermark in our post-COVID sales recovery. Encouragingly, we exited the quarter with total comp sales down only 12% in April compared to 2019 with close to half of our comp stores exceeding their respective 2019 performance levels.
Scott Bowman: Thanks Brian. The results of the first quarter marked a major inflection point for Dave & Buster's and we have begun to move beyond the significant impacts of the pandemic. We ended the quarter with 138 open stores, including one new store that opened during the quarter. With most of our stores open since mid-April, our business is showing strong momentum, generating revenues well above expectations for the quarter and extending into the first five weeks of the second quarter. We've also achieved a dramatic turnaround in profitability, driven by our lean operating model and the extraordinary efforts by our entire operations and support teams. For the first quarter total revenues of $265 million reflects the 35% decline in comparable store sales compared with the first quarter of 2019. In terms of category sales, the F&B business was down 49% comp, while amusements were down 25%. Amusements outperformed mainly due to a higher average spend for Power Card purchases. Throughout the quarter, comparable store sales showed steady improvement compared to 2019 and were negative 59% in February, negative 31% in March and negative 12% in April. This sequential improvement was driven by the reopening of our stores and improving comp trends in our previously reopened stores. As a reminder, we will continue to report comparable store sales against 2019 as we believe this is a more meaningful comparison.
Brian Jenkins: Well, thanks, Scott. We're very encouraged by the first quarter results and the continuing early second quarter momentum that Scott just covered. Over the past several quarters, we've outlined our strategic initiatives to enhance the guest experience and we've made great progress implementing them which would set us up for what we think is going to be a really strong season for our brand. I'm going to turn the call over to Margo to bring you up to date on the progress on several of those initiatives and then I'll follow up with some additional commentary. Here's Margo.
Margo Manning: Thank you, Brian, and thanks everyone for joining us this afternoon. When we talked at the end of March, we were already making progress on our key initiatives. I'm excited about the positive momentum and appreciate the opportunity to give you an update today. The overarching objective of our food and service model initiative is to efficiently drive increased sales, improve the guest experience and enhance our long-term profitability. On the food front, we have completed the transition to a new menu with the food identity, Inspired American Kitchen. This new menu offers 28 items, representing 33% fewer items than were on our menu prior to COVID. While it is still early, dishes like the IPA fish and chips, Hawaiian chicken sandwich, and Mushroom Stout Burger are big sellers on the menu and clearly resonating with our guest.
Brian Jenkins: Thanks, Margo. I'll take the next few minutes to update you on our new entertainment and guest engagement initiatives designed to fuel a strong summer season and balance of year. We continue to work diligently to ensure that Dave & Buster's remains the premier destination where guests can discover the latest entertainment to enjoy together. This summer will feature seven new games across our entire system, all of which launched exclusively at Dave & Buster's, games like a life-size version of the classic board game Hungry Hungry Hippos and the arcade version of Minecraft Dungeons which have already established themselves as two of our best performing titles in their categories. With the postponement of the new Top Gun movie to November, we made the decision to push back the release of this proprietary VR game to capitalize on the brand awareness that will accompany the film's launch later this year. However, this has given us an opportunity to draw more awareness to our enhanced version of Terminator: Guardian of Fate special edition, which we released earlier this year and that has already become one of our most popular VR titles. Finally, we are broadening our entertainment offering through the production of high-energy interactive events. We recently brought on a new leader for our dedicated entertainment programming function and began executing our plan, starting with a very successful live music test in our Tampa store produced in partnership with the well-known dueling piano brand, Howl at the Moon. In the coming weeks, we will begin testing national theme trivia nights in conjunction with market leaders,  and will continue developing a wide range of recurring events. By expanding our own entertainment lens, we look to broaden our appeal and increase visit frequency. For the upcoming football season, we have a number of initiatives planned to establish Dave & Buster's as the ultimate tailgate destination. These include proprietary video content, live entertainment in select markets, contests designed to draw our guests into the game, and of course, compelling food and beverage promotions. We also continue to make progress in our discussions with potential sports betting partners and look forward to concluding negotiations later this year. But Q2 is an important quarter as we look to drive deeper guest engagement and we see three forces converging this quarter to accelerate our sales recovery. First, we're seeing pent-up demand in the marketplace from people seeking social entertainment after the lockdowns of the past 14 months, coupled with higher levels of household savings and punctuated by the reopening of our stores. The second force is our new brand positioning, which highlights how Dave & Buster's turns ordinary situations into extraordinary social moments. This transformation is signaled by the iconic arcade sound DING DING DING and is prominently featured this summer in the first campaign of our new seasonal window strategy. This will be followed by a holiday campaign that we will begin to mark the next significant investment in marketing to reach guests and drive conversion during our fourth quarter. The summer campaign leverages a new media mix which shifts the brand to a significantly higher digital social mix while increasing our video reach to audiences through connected TV within our key trade zones. The new modern approach to media will be accompanied by unique activations ranging from bank card partnerships to TikTok influencers. The third and final force behind our accelerating recovery is the introduction of exciting new products. We know that new product news is a powerful motivator for visitation and it will be an important message to drive conversion this summer. Communication of this key message, both outside and inside our stores, will highlight new games, new food and new beverages. As we look to drive deeper guest engagement, we're also developing a new loyalty program to encourage guests to level up by eating, drinking and playing games. Launching in late Q3 the program will have a robust targeting and personalization capabilities that will also bring additional relevance to our mobile app as guests must use the app to complete challenges and earn rewards. Our research suggests that this program is significantly more attractive to guests than our current offering and will drive higher engagement. It is truly an exciting time at Dave & Buster's as the strategy, the planning and the preparation that occurred during the pandemic are now coming together to accelerate our recovery. I'll close today by emphasizing how much I appreciate the team's commitment, how encouraged I am by the proven resilience of our brand and how confident I am in our plan to drive Dave & Buster's to new heights. Our brand is back. We have a solid financial foundation and we are ready to move full speed ahead into summer. Now we'd like to take - on to the call to your questions, operator.
Operator:  And we will go to our first question is from Chris O'Cull of Stifel.
Chris O'Cull: Scott, the Company's second quarter total revenue guidance is similar to 2019 actuals and based on our math, the implied AUV for the second quarter is about 10% lower than the second quarter of 2019. First, is that correct? And then I had a follow-up.
Scott Bowman: That's - yes, it sounds about right.
Chris O'Cull: Okay.
Scott Bowman: I don't have, I don't have some results but that sounds pretty close.
Chris O'Cull: And then the Company stated the EBITDA margin would be 200 basis points higher than 2019 at similar AUV levels to 2019. But if you exclude the $5 million labor investment that you guys are making in the second quarter, it would seem the Company is able to achieve the 2019 EBITDA margin at a much lower AUV level. Am I thinking about that correctly?
Scott Bowman: Yes, let me give you a couple of things to think about because as we think about the 200 basis points in savings, first off, you are correct, as we approach the 2019 AUVs, that's the point where we thought we could achieve that level of savings. With kind of how dynamic things are right now, this is going to give you a couple of items to think about as we get into second quarter. So first off, food costs are a little bit higher on the commodity front, which is I think common - very common out there. So I expect we'll see a little bit more in higher commodity costs in the second quarter and kind of the back half of the year as well. And you mentioned as well on the labor cost front, we are having some incentives out there to kind of bolster our staffing position. And so we'll spend some money there, about $5 million, to try to attract more talent for staffing. From a marketing standpoint, we're kind of taking a little bit of a different position and we kind of touched on it a little bit where the second quarter and the fourth quarter is going to be heavier, right. And so we're taking this windows-based approach where, especially in the second quarter, we're going to really have heavy media during the summer time frame, kind of coinciding with our new menu and new games. We want to have a pretty strong push with marketing and really get the reach that we need to make an impact. And so that's a little bit of a shift from how we've done it in the past with more of a - a little bit more of an even spread. So that will give us a little bit of a headwind in Q2. And then in Q4, you'll see the same thing. We'll lighten up a little bit in Q3 and then we'll be heavier in Q4 from a marketing standpoint. And then from a sales mix standpoint, you can kind of see the numbers that we were over 8 points higher in mix in amusements than we were in the prior year. And so obviously that carries with it some nice upside in overall margins. We expect that that will moderate somewhat. Time will tell exactly how much kind of what that new normal is, but we saw some pretty heavy increases in our per cap, just people buying higher-value Power Cards and really contributed to the sales and the mix shift there in amusement. So we did assume some moderation in the amusements in the second quarter as well. So those are some nuggets there that kind of help you take a look at the modeling for EBITDA. But I think the important takeaway here is that, number one, we feel very comfortable with the savings areas that we have lined out and as a reminder, about three quarters of that is hourly labor, management labor and G&A costs. And so from a structural standpoint, we still feel comfortable with that. But the only caveat is you may see some fluctuations quarter-to-quarter until we get there.
Chris O'Cull: Just to wrap a bow on this. You talked about roughly 150 basis points or more of incremental costs in the second quarter with margin flat relative to 2019 in volume 10% lower than 2019. Am I thinking about that right?
Scott Bowman: Yes, that's correct.
Chris O'Cull: Okay, great.
Scott Bowman: I think another - yes, one of the other things to think about as well is just from an occupancy expense standpoint, that's going to be a big drag for us because that is no more fixed in nature and so really throughout this year with the lower volumes, we still will see a pretty hefty drag from occupancy.
Operator: And we'll go next to Jake Bartlett of Truist Securities.
Jake Bartlett: My first one was on the quarter-to-date sales. I think you mentioned that you were running roughly in line with the second quarter of '19, but the guide - are actually no above, but the second quarter guidance was more in line. So I'm just wondering what the drivers to that, maybe more modest increases for the rest of the quarter are.
Brian Jenkins: Well, Jake, appreciate the question. Our guide for the quarter was actually the top end is above our 2019 level by a bit. So we are currently five weeks in, just surpassing 2019 in the top end of our guide, basically saying the same thing here. So I don't know that it's any materially different than what we've seen so far in this quarter at the top end of the guide here. And I think…
Jake Bartlett: Okay.
Brian Jenkins: As Scott said, we definitely have - first of all, we're extremely optimistic about where this business is right now. We're seeing a lot of strength really broadly across our store base here. And so we're extremely optimistic about the quarter. There are some elements and drivers here that we're watching around, some of the per cap that Scott mentioned on amusement business that we've not seen in our history before here up in here 14 years. The volumes on our Power Cards are really high and elevated. A lot of that is driven by things we've done, purposeful things around pulling discounting. We're virtually not discounting right now, so effective price increase if you will. And that is helping the per cap quite a bit on amusement, but there is elevated demand here right now and a lot of folks are talking about pent-up demand and as COVID restrictions come off, people getting out being locked up, there's a lot of stimulus money. I think we're a benefactor of that a bit and so we'll see how that all settles out. But we're super excited about kind of the recovery patterns we're seeing in - and the recovery in California and certainly in New York. So we're positioned to have a really good summer, going to get back out with a voice in some ways the first time since COVID. We had a little bit of media back and I think it was the third quarter of last year that we couldn't cancel. But we've been relatively quiet and we were saving our powder, if you will, to get out big and strong this summer and I think the timing is perfect. COVID is - peers are rewinding a bit, obviously with the vaccines. We got some great products that we're going to be able to put in front of our guests and the team is really energized. So we're really excited about what summer is going to bring. This is a lot different this year than a year ago. Let's put it that way.
Jake Bartlett: Thank you. Yes, I appreciate that and that sounds great. The other question I had was on last quarter, you provided quartiles of performance. I'm just wondering how much that has tightened. If you could maybe provide that again in terms of - it sounds like, I'd imagine that a good portion of your stores are doing better than '19. Maybe if you - do have any of that data that you can share, just in terms of the range of how stores are doing right now?
Brian Jenkins: Sure. As I said, Jake, we're seeing broad recovery, strong - broad recovery right now. So we're really encouraged by that. But as you might expect, we have certainly some regional variability as a company and has a couple of, I think, key factors in our minds that are driving that. I think you've seen some of the sort of - we call that the maturity curve graphs that we put out early on in COVID. Our stores that are in markets that have been opened longer and those further along in that maturity curve. I'm really talking about some of the southern markets are performing better. We've got - I would say the other factor here is, there are certain markets where COVID fears and discomfort is different and we think that's impacting some of the regions and then clearly, we have a number of locations that are still subject to some form of operating restrictions. And we've got about 40% of our store base where we still operate with either capacity restriction or something else. So those are kind of three big things that sort of separate the quartiles and the regions for us. The good news in our view is that we think all of these factors are going to self-correct over time, stores are ramping up, here I'm going to speak specifically about California. They got out of the gate very strong, much stronger than other stores and regions. But they're still pretty green in their maturity curve. I think COVID fears are declining with the expanding vaccination and we expect to see operating restrictions get lifted. So we're pretty optimistic here, but there are separations being created, specifically on your quartile question here that separation has created differences. Our top quartile in the last five weeks is just shy of 120%. So they're above 2019 by about 20%. The lowest quartile we had is about 75%. So we definitely have separation. We view that as an opportunity to get the bottom quartile moving higher over time and I'd point to California as being sort of a big part of that because as I said earlier in their maturity there's still quite a bit of restrictions in that market. So in our second and third quartiles, I'm going to say this right at '19 levels average between the two of them. So we feel really good about the store base, we see the boats are rising and as I said, we're really optimistic as we head into summer.
Jake Bartlett: And then my last question, just on the staffing challenges and I know - I believe you're giving bonuses for some of your hires and things like that, but if you can - and you guys are - because you're having to ramp up so quickly, I think you have a great insight as to how difficult it is. So can you provide any insight as to whether there's been any change in the last few weeks or months in terms of that getting better? And then how do you feel your second quarter is going to be in terms of staffing? Do you think that it's going to be new light? I know there is this extra cost from the bonuses and other efforts but maybe stripping that out, do you think you are going to be running fairly lean because of the staffing issues?
Brian Jenkins: Well - go ahead.
Margo Manning: So, I'll Jump in and then Brian or Scott can join on. Just the first part of your question which is getting - is it getting better? We are seeing in markets where they are pulling back on some of this stimulus, we're seeing the applicant flow increase in some markets actually pretty significantly. So in terms of is staffing getting a little bit easier, we are seeing that in specific markets. And not only is the applicant flow increasing but you're actually having people accept the offers and show up at work. So essentially we're having applicant flow and then that would translate into an interview where it would - it almost looks like activity but that didn't result in a hire and that we're seeing change. So we're encouraged by that as we go into Q2. We're also seeing some of the recruiting and retention programs that we had mentioned start to take hold, specifically in our referral program and so, we're encouraged by that as it relates to staffing in Q2. So I don't think that you're going to see Q2 be as difficult from a staffing standpoint as what we've operated in the past quarter. Additionally, the new technology that we're rolling out and the new service model has been really powerful for us. It's allowing us to operate more efficiently. We're able to cover off on a bigger station, the teams like it, the technology is pretty easy for the guests to acclimate to. So we're really encouraged about the combination of all of those things coming together to help make this staffing situation better for us in the upcoming months. Anything you want to add?
Brian Jenkins: Sounds great.
Margo Manning: Okay. Yes.
Operator: And we'll go to our next question from Jeff Farmer of Gordon Haskett.
Jeff Farmer: I actually just wanted to follow up on some of those lean staffing comments that you guys just made. So in terms of thinking about the big picture of the initiatives you guys have put in place over the last several months, where do you stand? In the first quarter, sort of see the full benefit of those initiatives or theoretically, are there more to come in terms of cost controls as you get deeper into the second quarter?
Brian Jenkins: Well, I mean the sort of efficiency initiatives that we've put in place we're really rolling out over the course of the first quarter. We're not - as Margo said in her prepared remarks, we're a little over halfway through the system in terms of rolling out our mobile web and POS, handhelds that really help facilitate the new server and service model. So - and will be done tail end of July. So we still have room to go on that. So we'll see some dividends over that as we get through the rest of the store base over the course of the summer.
Jeff Farmer: Okay. And then separate question. You mentioned it in an answer to an earlier question, but with all the two of the stores open today, I just wanted to better understand what effective capacity, whatever term you want to use is, what that effective capacity number looks like currently meaning in terms of your ability to use all of the bar areas, the amusement floor, whatever it might be, where that stands today versus where you think it might be moving deeper into the summer?
Brian Jenkins: Now that's a little bit of a hard call. As I said, we've got roughly 40% of stores that had some form of - still have a capacity limitation, it could be particularly California not being able to use the bar or table limitations, limitations on games, which I think is less of an impact for us. But I think we feel like that over the course of the coming months, we're going to see these things get lifted. And I know we read a lot of stuff in terms of casual dining and pointing to this as the primary factor of kind of limiting business. As I said before, this is not as big as an issue for us just because of our sheer size and scale, the square feet we have. Certainly, as these stores recover and get to bigger numbers that can put pressure at peak hours and stuff, but we've - when you look at our top quartile producing 120%, we've had stores that are well over 100% with restrictions, capacity restrictions. So it's an - it's impactful, but it's not the same kind of magnitude that you would see in casual dining.
Jeff Farmer: And I apologize. Just one more quick one. So a lot of conversation about staffing levels and where you guys are in and what the labor market looks like, but any early thoughts on potential wage rate inflation, not only for your business, but just sort of looking more broadly out across the sector and your thoughts on wage rate inflation as we get into the back half of '21 moving into 2022.
Scott Bowman: Sure. I can start on that one. So far, with the kind of incremental wage inflation that we've seen, most of that is actually due to additional overtime. With lower staffing levels, we are augmenting more with overtime than we had in the past. And just from store opening standpoint, of course, when you add California to the mix, that's going to kind of raise our average by itself just internally. But as we kind of get into the second half, I mean we expect the wage pressure to moderate somewhat as some of these labor charges ease which we think we will see that. And I say that just for a couple of reasons really as unemployment benefits start to go away in early September, and even earlier in some states that have already pulled back, we think that COVID fears should start to subside with more folks willing to return to work and then as schools reopen as well. We think there is a few factors out there that over the course of the next few months should help the labor shortage situation. In the meantime, we'll continue to augment with some overtime, but also with the technology that we've kind of talked about with the tablets and service model, that's definitely helping us as well as fewer operating hours for the time being.
Operator: And we'll go next to Andrew Strelzik of BMO Capital Markets.
Andrew Strelzik: Thanks for taking the question. My first one, I think over the last couple of quarters you've talked about the demographics of driving the sales recovery really being more millennial heavy and I'm curious if you're seeing that start to broaden out to include more families or is this sales recovery still really be driven by one of those two buckets of the customer base?
Margo Manning: Andrew, it's Margo. So I'll add a little color and then Scott and Brian can join in. So we're seeing both families and adults return to Dave & Buster's. And while it's been great to welcome our guests back at that time, we are also looking to learn more about the guests through a new tool that we've launched May, . And it's basically a - it's a comprehensive and guest experience platform and it's going to offer deeper insights. It kind of captures everything for you in one spot. It's import variant, it's desperation feedback, it's all mobile and all social. So think about all the revenue side, today going out for TripAdvisor all of that and it's going to help us better understand what the guests want and it's going to put us in a position from an operations standpoint, have actual feedback about improving the execution. So we're excited to not only welcome the guests back but also to wow them. And again we're seeing more of a pre-COVID reflected in the guest base where to your point earlier it was planted more adult. It's a little bit more balanced now.
Brian Jenkins: Yes. And, Andrew, I'd just add one thing. So I think I told this on one of the prior calls, we really just launched this program here in May. During the course of COVID, we actually pulled back on a lot of the investments we had made and kind of our guest satisfaction, those tools, just due to cost management. So we ended up kind of reengineering the whole platform here that we feel a lot better about it because the market has comprehensive the dashboard that we get today compared to before is significantly different. So a lot of what we are talking about in terms of returning guests is a little more anecdotal today than it was when we had a system and platform that was in and was in place for a long time. So not to be evasive on the specifics but that's the reality here.
Margo Manning: Good color coming in the picture, though, Thank you.
Andrew Strelzik: It sounds like an exciting opportunity. My second question is just, you were talking about how you pulled back on the promotions and I'm just curious how you're thinking about kind of more broadly promotional levels and layering that back in over time. How much do you think of this as sticky versus how you're thinking about layering that back in?
Brian Jenkins: I mean that's a really great question and we're talking about it frequently now. I mean, we - right now I don't feel the strong need to go back into the discount territory here where we're seeing strong demand without it and it's having a significant impact on sort of our per capita as Scott mentioned in his prepared remarks. So it's not something going back to an always-on discounting strategy. It's not something that we're planning to do near term because we're going to hop much more toward pulsing things versus a constant discount trend.
Andrew Strelzik: If I could just squeeze one more quick one in here. It sounds like above and beyond kind of service model changes that you're implementing. You mentioned testing in two stores that's fully automated kind of F&B situation. Can you just give a little more detail about what that looks like?
Margo Manning: Now, so we have two stores where we have basically offered to the guests the ability for them to order via their phone food and beverage so that they can control the complete experience themselves. That being said, if the guest is uncomfortable and is looking for the server experience we can adapt, but what's been interesting is then both of these situations we've had high guest adoption and it's been really pretty well-received. So we're encouraged by that. Additionally, as we're rolling out the local web platform in the different regions, the other thing that we've seen is that we have gotten better at the rollout and better at guest practices. So every week when we're bringing on a new region they come on with stronger guest adoption in the beginning. So it's been an encouraging situation in our overall brand rollout additionally, in the two stores that are basically a contactless mobile enabled experience for the guest throughout the building.
Brian Jenkins: Yes, I mean just to add something here. This is a pretty transformative change in terms of how we're thinking about using technology to really transform the service model. So here - the two stores, one is in Dallas and one is actually in Time Square, we're talking about really moving the transaction piece, so the experience over to the technology and the roles are being rewritten. So in this environment, it's technically not really a server role. So we've defined roles, scripted roles to drive engagement and enhance the guest experience. So moved transactions over, reimagined the roles of our team members. So it's been a lot of work and it's evolving. Our technology team along with our operations team they have really done some great work here and we'll see where it goes. I am excited, but I think it could be very transformative for our brand.
Operator: And we'll hear next from Nicole Miller of Piper Sandler.
Nicole Miller: Just two questions. The first around - I think you said half of the CapEx would be for new store development. I wanted to understand how the bench strength is, how do you kind of get the pipeline restarted and just making sure that that's sitting on G&A as we pencil out both the top line and EBITDA here? Thanks.
Scott Bowman: Well, I guess, there's no doubt that with the events of COVID we put ourselves back a notch or two in terms of our ability to build out stores and that's - at this point that's about capital because our cash flow is now returning. We're seeing a lot of strength in the business and our financial foundation is getting stronger by the day. So I think we have flexibility to begin to reaccelerate the development. Our development team really is in place. They were heavily focused on lease negotiations. It was a complete pivot during COVID in terms of what the role was. But we have an incredible development team and they fill - are in place and we are pivoting their focus obviously now. As where we have the pain points and more difficulty is the bench strength in the field just because we are operating at lower power levels post-COVID. We've had some people move on to other industries and move on to other companies. So that's something that's going to take some time to rebuild. And that's - the work that we have now to think about the rebuilding of the leadership team that's really going to fuel the stores. Every day that goes by and as our recovery gets better, our numbers get better, we're adding back more powers, but that's going to take a little time. So I don't foresee - we're not going to be in a position where we're going to move back to 15 stores and kind of the numbers that we were running pre-COVID in the near term.
Nicole Miller: That all make sense. Next thing and there is nothing that would change dramatically. I mean the team was basically in place. I think the pivot point comment is super important though it's just going to again shift direction. So thank you for that. The second question, I know it's a little bit more difficult because everybody is coming back in real time and you're doing some research around the guests. But how are they spending their time? We understand like the percentage mix as you've reported. But are you kind of able to track the behavior? Meaning, how long are they sitting to eat and how long are they playing or watching sports? What days of the week are they coming, what times of the day, kind of just on an absolute basis, but also very curious to how - to understand how that on average might compare to those stores running above, right? I think you said 125% was the top - 120% was the top quartile. How does the behavior look the same or different in those stores? Thank you.
Brian Jenkins: It's a lot of questions in there. Obviously, we have a pretty big separation and kind of amusement performance relative to F&B in the sector - in the first quarter, we're still seeing that here early into the second quarter. If you kind of drill into sort of traffic, which is sort of indicative of how people are spending their time, the traffic metrics for us right now in our food and beverage business versus amusements are pretty similar. They're down about the same number. And as Scott mentioned, we see pretty massive increase in per capita spend on the amusement side, entertainment side. So in terms of how they're spending their time, they're consuming and attaching to our offering in similar ways. The higher per cap spend in amusement would indicate they're spending more time with more chips on their - on the Power Cards. But we don't - I don't know - I can't give you if they are staying going from an hour and a half to two, we don't really have that stat that would point to that a bit. That said, in our release you may notice that we had a pretty large deferred revenue adjustment in the quarter. And I think some of that is we've got some of these guests that are buying the cards and they're deferring some of those shifts that we had a pretty big pressure on that metric, biggest number since I've been here in terms of reduction to sales and sort of a direct hit to our quarterly performance. So - but in terms of consuming food, consuming beverage, it's sort of that mix is about the same, I think they are spending probably a little more time in the arcade.
Nicole Miller: And just to confirm on a lower store, let's say, sales in above 100% in 2019. It sounds like the behavior of the consumer isn't shifting at all. It's just whether how they can use the store in their geography in terms of mobilization. But I want to make sure I don't miss the finer point of any consumer behavior shifts that you see.
Brian Jenkins: I think the separation when you look at the top quartile, low quartile stores is much more driven by traffic, return of people in the box, less about certain geographies or consuming a lot more food relative to - or less or more food relative to amusements, it's less about that. It's more about people coming back into our box and that's where our opportunity is. California is on the train. They got their stores open, but they still trail the rest of the system right now. I think that's going to change. California likes our brand. They will be back.
Operator: And we'll go to our next question from Andy Barish of Jefferies.
Andy Barish: A lot of the stuff has already been asked. Wondering if you've done any recent work or even anecdotally can sort of comment on the competitive set out there and closures that you're seeing in some of the folks that you track.
Brian Jenkins: Yes. That's evolving. Good question, Andy. Clearly, when COVID hit, we saw temporary closures in virtually every competitor. As we say that today, I would say virtually every competitor is largely reopened at this point and that's kind of where it sits right now. There is a few that have some units closed permanently, but there - the competitive sets largely open at this point. I think during COVID, we all wrestled with the challenges of that. We saw pronounced deceleration and openings obviously in 2020 relative to what was pretty strong growth in 2019 and those earlier years. And just as we look at it and kind of look at the competitive set, we do expect competitors to accelerate into 2021 versus 2020, which is probably obvious, right because 2020 was somewhat shut down and it appears to us that the collective set is going to grow faster than '20 but not collectively as high as what they were doing back in 2019 or earlier. So that's kind of temporary lull that we talked about. Did happen, it's still probably there in '21. But I think we're not - as I said before, we're in an attractive space. We understand that there will be a competitive investment and it's likely to reaccelerate, and I think we're going to see competitors begin to gear back up in 2022 and beyond as were we. As I said before, for us, I would say in my view, we have the best team. We have a very strong business model. We have a balance sheet that is much stronger. We have flexibility to invest in. We have a great plan. So I'm confident that we're going to emerge as an even stronger competitor as we all gear back up.
Operator: And we'll go to our next question from Sharon Zackfia of William Blair.
Sharon Zackfia: I guess I just wanted to clarify something, Brian, I think you talked about pent-up demand. Are you seeing any kind of beginning of sales volumes for the stores or the locations that have been in areas that have had less restrictions now for quite a while?
Brian Jenkins: Are we seeing stronger performance where people had less restrictions for a long time…
Sharon Zackfia: No. So I think there is a hypothesis on pent-up demand, meaning that when you first reopen the doors, all these folks come in and then - and it tapers off. So I was just wondering, obviously you have stores all over the country. Some of those areas have been open quite a bit longer. Are you seeing any kind of slowdown in sales trends as the market has been open longer or is it maintaining?
Brian Jenkins: Look, we haven't published it because we had so many fits stops and starts with COVID. We had a pretty good start out there on our maturity curve, kind of how stores had gradual and continued improvement over time. I think our most recent stay for New York and California, they're doing better today than they were doing in the first week of reopening. So I think we're seeing sort of that same maturity curve kind of reality in our performance in the gradual recovery. That said, these stores have - we have stores and space that have been opened a long time that are over-indexing significantly, for them particularly. So I would say that they have dialed back that we felt a lot of strength and in that top quartile in particular and as I said before, the second quartile is surpassing 2019 and the third quartile is just shy of 100%. So we felt really good about it, kind of where we sit.
Sharon Zackfia: Okay. And then on the revenue guidance for the second quarter and I'm sorry if I missed this, but I know you talked about normal seasonality was kind of the thought process as you look to giving that second quarter guidance. But as you all mentioned, you've been really quiet on the marketing front and that's changing. So I'm just wondering did you include in any kind of sales lift from the marketing that's starting now?
Scott Bowman: Yes, we definitely did.
Sharon Zackfia: Okay.
Scott Bowman: There's many inputs and that was one of them that we did assume lift from.
Operator: And we will go next to Brian Vaccaro of Raymond James.
Brian Vaccaro: I just wanted to quickly circle back on the quarter-to-date sales you mentioned. And, Scott, I think the down 4% puts you somewhere in the low to mid-190s range on average weekly sales across the system. I just wanted to hopefully level set that and make sure that's right. And then any additional quantification on the pace of recovery you could provide on California or New York since both had reopened in recent months?
Brian Jenkins: You want to take the first?
Scott Bowman: Yes, sure. Yes, you're correct on the first one and then Brian can give you some color on New York and California.
Brian Jenkins: Yes. Brian, we talked a little bit about New York last time around. I think we just opened up, if I remember right. But both of those markets got out of the gate stronger than really any state in terms of kind of those initial weeks and in our view, that actually makes a lot of sense, right. They've been closed for so long a lot of the kind of earlier states, there's still a lot of COVID fear. So they got out of the gate stronger in terms of that index that we've been quoting. New York, a bit better than California. At this point, I think we had it in our - I think we've said this, but our New York stores are essentially back to kind of our overall system average at this point. So that's good news, right. They're sort of - if you look at our minus 4%, they're kind of right in the hunt. The California is trailing, it's lagging, that's been - it started off out of the gate a little slower and it's recovering. It's better than the first weeks of reopening. That is a space that's still subject to restrictions. New York is opened up. We're not restricted there. California still has a lot of restrictions. And I would argue, I think, when I talked about what are the factors, the COVID fear, I think there is a fair - would be one of the states that I would probably point to that I think there is still some consumer and fear in California around COVID. It's been locked down a long time. They've been pretty aggressive as a state. So look, I think that's the opportunity, I think we're going to - like people are people, they want to get back to their lives and socialize and I think California will be back. It’s just recovered a bit slower, and - but we're going to get there.
Brian Vaccaro: Makes sense. And I guess, thinking about historical seasonality during the summer, how important is the end of the school season? I know it differs around the country. But how important of a driver is that for your business moving into July and August relative to the month of May as opposed to June as well though it's a little bit more mixed on that front? Would you expect that to be an incremental driver of sales, I guess, moving from here as the school year ends around the country?
Brian Jenkins: Well - you want to take that?
Scott Bowman: Yes. Sure. So Brian, you're talking about, so in May, we do typically under-index the average about 89% of our average weekly sales and then as we get into the August time frame, we're about even. We're about at or overall average weekly sales. So July is - June and July are heavier for us. June, we see a ramp-up and then July is one of our highest months. It's in the kind of the top three as we look at just normal cadence at least, the average weekly sales and seasonality.
Brian Vaccaro: On the labor front, if I could just squeeze one more in, on the labor front, can you help us level set where current staffing levels are compared to pre-COVID-19 levels or maybe how many employees you see yourselves is needing to hire to be able to catch up to the stronger demand you've seen?
Margo Manning: That's going to - it really will vary pretty dramatically by market.
Brian Jenkins: Yes, I don't know if I have the stat here, Brian, right now. I think pre-COVID, we had a team, correct me if I am wrong here, of around 14,000 hourlys and I want to say we're in the 10,000 something range right now.
Scott Bowman: Yes, we've actually done a little better over the last couple weeks. We're just short of 12,000.
Brian Jenkins: Is that where we are.
Scott Bowman: Yes, just short of 12,000 people. So we are catching up. We still have a little bit more to go. We're not operating at full volume yet and so we're getting there, but there's still some ways to go there.
Brian Vaccaro: Yes. Okay, that's great. And commodity inflation, a topic on everybody's radar as it seems these days. I know it's not a big driver of your cost structure normally and obviously today as well. But what level of inflation do you expect moving through the rest of '21? And I'll leave it there. Thank you.
Scott Bowman: Yes, first off, you are correct, it's not as big of an issue for us thankfully. But as we kind of look at some of the key proteins and down the list chicken, beef and dairy, probably seeing the biggest inflation metric in this top, not surprised. Yes, we feel like as we get toward the end of the year - the balance of year actually, we estimated about a 6% to 8% increase in food costs. That's what we're seeing right now.
Operator: And we do have a follow-up question from  (sic) Chris O'Cull with Stifel.
Chris O'Cull: I just wanted to make sure to clarify a question or a response to a question earlier. Scott, did you say that the advertising that's planned is the list of the potential sales lift from that is reflected in the guidance?
Scott Bowman: It is. Yes.
Chris O'Cull: So I'm curious with the quarter-to-date comp down roughly 4% in the midpoint of the guidance below that quarter-to-date trend, what am I missing? Why are you expecting some sort of underlying softening?
Scott Bowman: That's a good question and as we kind of look where we are, we've talked about the really big increase that we're seeing in per cap, especially on the amusement side. We see that moderating. It may be a question of when that moderates, but we have built some of that in there and with also the pent-up demand that we're seeing, we're assuming that there'll be some moderation of that as well, but there is no perfect signs to understand when exactly that will happen, but that is built into our assumptions as we look at the second quarter.
Operator: And do we have time to take additional questions?
Brian Jenkins: No, I think we've overshot this by a little bit. I appreciate everybody's attention and sorry, we're running over here about 10 minutes, I think we probably ought to call it.
Operator: I will turn the call back to the presenters for any final comments.
Brian Jenkins: Well, look folks, we really appreciate you guys joining the call today. Wish you and your families a great and active summer. Get out there, get to one of our stores very soon because we're open virtually everywhere we can and come out and see us and have a great night. Thank you very much.
Operator: And so this concludes today's call. Thank you for your participation. You may now disconnect.